Operator: Greetings, and welcome to the Vera Bradley, Inc. Second Quarter Fiscal 2026 Earnings Conference Call. At this time, participants are in a listen-only mode. A question and answer session will follow the formal presentation. You may be placed in the question queue at any time by pressing star one on your telephone keypad. As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Mark C. Dely, Chief Administrative Officer. Please go ahead, Mark. 
Mark C. Dely: Good morning, and welcome, everyone. We'd like to thank you for joining us for today's call. Some of the statements made during our prepared remarks and in response to your questions may constitute forward-looking statements made pursuant to and within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from those that we expect. Please refer to today's press release and the company's most recent Form 10-Ks filed with the SEC for a discussion of known risks and uncertainties. Investors should not assume that the statements made during the call will remain operative at a later time. We undertake no obligation to update any information discussed on today's call. I will now turn it over to the call to Vera Bradley, Inc.'s Executive Chairman, Ian Martin Bickley. Ian?
Ian Martin Bickley: Thank you for joining us today. It has been a busy two months since I took on the role as Executive Chairman. My team and I have hit the ground running to reinvigorate and reimagine Vera Bradley, Inc., an iconic brand with strong awareness and deep connections with consumers across generations. One thing that has become clear to me since stepping into this role is that our loyal customers love Vera Bradley. They truly want us to succeed. When we deliver the products and experiences they expect, they respond. We recognize there is much work ahead of us. But I want to be clear. We are implementing a comprehensive strategy to revitalize our market position by leveraging our brand's proven emotional connection with consumers. Our integrated approach spans strategic merchandising and product innovation, targeted marketing, and how we show up across shopping channels. All designed to reengage our loyal customer base while expanding our reach to new market segments. This disciplined focus on our core brand strengths, combined with data-driven consumer insights and seamless execution, will, over time, drive sustainable growth and restore our competitive advantage. To execute this strategy effectively, we're simultaneously transforming our operational foundation to improve focus, agility, and execution. We're streamlining decision-making processes, eliminating organizational complexity that has hindered our speed to market, and reallocating resources towards our highest impact initiatives. This operational discipline, combined with prudent cost management, will ensure we can invest meaningfully in the brand, innovation, and experiences our customers expect while delivering the financial performance our shareholders deserve. These structural improvements aren't just about efficiency. They're about building the agile, responsive organization needed to capitalize on Vera Bradley's iconic and distinctive brand positioning in the marketplace. On today's call, I will briefly discuss our second quarter performance, including several product and marketing wins that are giving us confidence we are moving the business in the right direction. From there, I will walk you through our key strategic initiatives informed by the work we have completed to date partnering with our recently established strategy and transformation committee. I will then ask Marty to provide a more detailed financial review of our second quarter performance, including an update on how Vera Bradley, Inc. is addressing current trade policies and the implications for our business. And we will wrap up with some time to answer any questions you might have. Before I begin, I want to take a moment to recognize and personally thank our entire organization for their exceptional commitment during this pivotal transformation. Our employees across all functions are not just executing this strategy. They are the embodiment of our brand values and the driving force behind our renewal. Their adaptability, creativity, and relentless focus on excellence will be the foundation of our sustained success. As we continue this journey together, I'm confident that our collective expertise and passion will deliver the results our customers, shareholders, and communities expect from Vera Bradley, Inc. I'd also like to provide a quick update on the nationwide search to find our next CEO, which I mentioned on our June call. This is a major focus for us, and we continue to meet with a number of promising candidates. We will keep you updated on our progress. Now our results. For the second quarter, we registered revenues of $70.9 million, a decline of approximately 25% to last year and roughly in line with our internal forecast. Notably, we saw sequential improvement versus the first quarter in our comparable store sales across our store fleet and on vb.com. And in each month during the second quarter. We are encouraged that this trend has continued and that our brand channels are leading the way. As I mentioned, back in June, we announced the formation of a strategy and transformation committee to assist with informing the company's strategic direction, identify future growth opportunities, and accelerate Vera Bradley, Inc.'s transformation. Through this cross-functional work, we have identified five key strategic initiatives that we are now implementing. Strategic initiative number one, sharpening our brand focus. We need to have a clear brand strategy and messaging that is consistent across all consumer touchpoints and that resonates with our loyal customers while engaging new audiences. This begins with product. Informed by consumer insights, and under new merchandising leadership, which we transitioned to in May, we are in the early stages of making meaningful adjustments to our product, design, and assortment. We are driving innovation back into our core DNA and what made Vera Bradley, Inc. successful. We were known for amazing occasion-based bags, for back to school, weekends, the beach, holiday, gift-giving, and more. Beginning in late June, we launched a back-to-school collection highlighted by product wins, including the return of compelling backpacks and lunch bag categories that we had not emphasized last year. This included the addition of a new extra-large backpack that became one of our best sellers across channels. As part of our fall and holiday assortments, we are bringing back iconic styles such as the Vera tote, along with exciting new product designs with great details. In addition, we are bringing back proven heritage-inspired prints from our archives such as Rachel Ditzy and Chambray, with our border iconography which have been a hit across all silhouettes during back to school. We are also expanding our range and increasing the depth of our investments in cotton, a material our customers love. Our assortments will be more balanced across fabrications, silhouettes, and prints. And we continue to have exciting IP offerings to surprise and delight consumers. Our Disney and Peanuts collections that launched during back to school were some of the best we have ever had. And our Gilmore Girls capsule, which launched just before Labor Day weekend, was incredibly well received, selling out in just five minutes. And we are super excited for the hero heritage reissue of the original 100 bag, a Vera Bradley, Inc. icon priced at under $100 just in time for the holidays. Available in heritage-inspired prints, seasonal patchwork, and pinnacle animations. The 100 bag will launch in October in our brand channels, supported by a compelling social media campaign featuring the iconic Radio City Rockettes, who are also celebrating their hundredth anniversary. On the marketing front, we have also completed some important work directly tied to our sharpening brand focus initiative. On July 12, we launched our "Don't Forget to Have Fun" back-to-school brand campaign. The social-first campaign leveraging a cast of carefully curated influencers, including Kate Steinberg, was well received with nostalgic and joyful tones, targeting brand consideration across a diverse range of consumers. Despite a significant reduction in our top-of-funnel marketing spend during this period, we drove meaningful increases in both recruitment and engagement on our Instagram and TikTok platforms, as well as new customer acquisition on vb.com. For reference, in the six weeks since launching this campaign, we gained more followers on Instagram than in the entire prior twelve-month period. While on TikTok, we gained more than double the number of followers than in the prior twelve-month period. We also saw a 23% increase in new customers on vb.com. Looking ahead, based on the success we are having, we will continue to lean into our social-first media strategy and the nostalgic and joyful tones that are clearly resonating with consumers. One remaining element of our sharpening brand focus initiative I'd like to mention today is our indirect business, including our wholesale strategy. The indirect segment has always played an important role in the brand position, growth, and profitability of the Vera Bradley, Inc. business, as it has allowed us to meet consumers in the venues where they choose to shop. In fact, Vera Bradley, Inc. began as a wholesale business, and many small specialty store partners throughout the country helped build recognition for the Vera Bradley, Inc. brand on a national scale. While the overall retailer landscape has changed dramatically over the years, we are confident that this will continue to be an important channel to engage with our consumers. We are taking a fresh look at our wholesale strategy with the goal of refining our approach to better match product to the consumers and the venues they choose to shop and ensure that it is aligned with our brand positioning efforts. As part of this, we will be continuing our partnership with major retailers such as Dillard's and Von Moore, and rebuilding the relationships with several of our important specialty accounts. While at the same time evolving new partnerships with important retailers like Anthropologie, that are resonating with a new generation of consumers that we believe will be attracted to Vera Bradley, Inc. Additionally, we have already secured some important new retail partnerships and collaborations for our upcoming fiscal year, which we are not yet ready to announce, but will enable us to reach new consumers in exciting ways. Licensing the Vera Bradley, Inc. brand for specific non-core categories that can expand reach and awareness is also something we will continue to pursue both from a strategic and commercial perspective. And already have several initiatives in the pipeline. Strategic initiative number two, developing a cohesive omnichannel strategy. Simply put, we are working to create more cohesion between the various platforms and channels where consumers engage with our brand. This is a comprehensive go-to-market assessment anchored on an omnichannel approach to the Vera Bradley, Inc. customer experience. In an effort to remove friction points that exist today. One straightforward example, we were running different promotions through our online outlet channel and outlet stores, creating both customer confusion and operational business inefficiencies. We now have our digital and store channels running the same promotions. Not only has this resulted in greater brand consistency, it has also resulted in improved margin rates as we have effectively reduced discount levels overall. There is more to come here, as we are just in the early stages of this work, but capitalizing on the obvious choices and low-hanging fruit where we can. Strategic initiative number three, Outlet 2.0, updating our outlet strategy. Our outlet channel is an important component of our omnichannel mix. It is where many consumers interact with us and where perceptions are formed. Today, it is primarily used for deep discounting and clearance. At the same time, the vast majority of our Vera Bradley, Inc. outlet stores are located in premium and luxury outlet malls where customers are increasingly looking for positive brand experiences in addition to value. With Outlet 2.0, we see an opportunity to shift the paradigm of our outlet stores by focusing on elevating the customer experience through improved assortments, including select full-price product, visual merchandising and display, and labor optimization. Outlet 2.0 will drive positive brand engagement by making it a more fun and joyful experience while bringing sharper focus to the Vera Bradley, Inc. value proposition in environments where we have a high number of footsteps and eyeballs on the brand. Outlet 2.0 can have a major positive impact on both our store productivity and profitability, while simultaneously accelerating our brand transformation. We are taking a test and learn approach to Outlet 2.0, in pilot in a handful of locations that we are planning to run during the holiday season. We are also adjusting our staffing models in select stores to better align with peak shopping periods, driving higher labor productivity and conversion rates. We will evaluate the results for potential rollout in 2026 after the holiday season and look forward to updating you on Outlet 2.0 progress on future calls. Strategic initiative number four, improving our operating model. We are taking a comprehensive look at our operating processes to evaluate how we can run our business more efficiently. We are looking at every aspect of our operating model, spanning product development and design, store allocation, store labor, promotional strategies, and more. This is a holistic examination of our operating model and go-to-market strategy. Importantly, we are changing how we are looking at the business and instituting a focus on fundamentals and key retail KPIs across channels. And how we can bring focus to the highest impact initiatives for the enterprise and improve execution. Our strategic focus is to direct decisions towards winning areas of the business as opposed to a democratic approach. Lastly, our fifth strategic initiative, reimagining how we work. We are reexamining our organizational structure and culture to improve the way we work to be more creative, collaborative, and efficient. While we recognize the need to continue to bring costs more in line with the current operating scale of the business, we must now redesign the organization and structure enhancing our talent and leadership to be more aligned with the key growth areas of the business. Strategy needs to lead our organizational and operational transformation as we take out the next layers of cost. In closing, while it is still very early, the current trends in our business give us some confidence that our improved focus and execution and the changes we have undertaken in our product pipeline, the tonality and reach of our marketing, and the ongoing work across our channels of distribution are moving Vera Bradley, Inc. in the right direction. We look forward to updating you on our progress. Now I will turn the call over to Marty to discuss the financials. Marty?
Michael Schwindle: Thanks, Ian. Good morning, everyone, and thank you for joining us. I have a few brief comments to make about our performance for the quarter. For the sake of clarity, all of the numbers I am discussing today are non-GAAP and exclude the charges outlined in today's press release. Complete detail of items excluded from the non-GAAP numbers as well as a reconciliation of GAAP to non-GAAP can be found in that release. For 2026, our consolidated revenues totaled $70.9 million compared to $94 million in the prior year second quarter. Net loss from continuing operations for the second quarter totaled negative $500,000 or negative $0.02 per diluted share compared to net income from continuing operations of $2.6 million last year or $0.09 per diluted share. In terms of segment performance, Vera Bradley, Inc.'s direct segment revenues for the second quarter totaled $60.5 million, a 16.2% decrease from $72.2 million in the prior year. Comparable sales similarly declined 17.3% driven by conversion declines in our full-line outlet and e-commerce channels. Total revenues were also impacted by 10 new store openings and 13 store closures over the past twelve months. Vera Bradley, Inc. indirect segment revenues for the second quarter totaled $10.3 million, a 52.5% decrease from $21.8 million in the prior year quarter. The decrease was related primarily to a decline in key account orders as well as liquidation sales. Gross margin totaled $35.4 million or 49.9% of net revenue compared to $46.8 million or 49.8% of net revenues in the prior year. The slight increase in year-over-year margin rate resulted from lower liquidation sales, partially offset by incremental shipping costs driven by channel shifts from brick-and-mortar stores to online sites. SG&A expense totaled $36.3 million or 51.2% of net revenues compared to $43.6 million or 46.4% of net revenues a year ago. The $7.3 million decrease in expenses was primarily due to restructuring activities undertaken over the past year which resulted in lower compensation expense, primarily driven by reduced headcount, coupled with a reduction to advertising expense. Operating loss from continuing operations totaled negative $600,000 or 0.8% of net revenues, compared to operating income from continuing operations of $3.3 million or 3.5% of net revenues in the prior year. We remain focused on driving operational discipline to enhance execution and deliver improved sales, margins, and profitability. We are pleased with the early progress in this effort as demonstrated through sequential improvement in comps across three of our four direct channels, and sequential gross margin improvement. The team continues to review our processes and actions to identify opportunities for new approaches to how we work. Turning to the balance sheet. Cash and cash equivalents at the end of the quarter totaled $15.2 million. We had borrowings of $10 million against our $75 million ABL facility at quarter end. Second quarter inventory decreased 13.2% to $96.7 million compared to $111.4 million at the end of the second quarter last year. We recognize that inventory performance is a key opportunity for our business, and are focused on developing strategies to improve our turns over the next twelve to eighteen months. Immediate actions include aligning receipt plans more closely with sales expectations, and evaluating our SKU assortments to identify opportunities to reduce overall counts allowing for greater depth and high-performing colors and patterns. With regard to tariffs, we estimate a total annualized impact of $11 million. Our sourcing teams are working with our suppliers to mitigate the impacts, while also evaluating our go-to-market strategies to understand which levers to adjust. We expect over time the combination of these efforts to offset the dollar value of tariffs, but in the end, all actions will be driven by market dynamics. Given our transformation journey, and the dynamic consumer environment, we are currently not providing guidance. While this remains a challenging environment, we are identifying and implementing to enhance operational discipline. And these actions are already contributing to sequential improvements on a quarterly basis. We will continue to build on this progress, while accelerating our efforts to drive further improvement in our financial results. This concludes our prepared remarks. Now we will be happy to take your questions. Operator?
Operator: Thank you. We'll now be conducting a question and answer session. If you'd like to be placed in the question queue, a confirmation tone will indicate your line is in the question queue. You may press star 2 if you'd like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing star 1. One moment, please, while we poll for questions. And once again, that's star 1 to be placed into the question queue. We reached the end of our question and answer session. And that does conclude today's teleconference and webcast. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.